Operator: Good day, ladies and gentlemen and welcome to the Tutor Perini Corporation First Quarter 2016 Earnings Conference Call. My name is [ph] Daniel, and I'll be your coordinator for today. At this time, all participants are in a listen-only mode. Later we will be conducting a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. [Operator Instructions] I would now turn the conference over to your host for today, Mr. Jorge Casado, Vice President of Investor Relations. Please proceed.
Jorge Casado: Thank you, Daniel. Good afternoon and thank you all for your participation today. With us on the call are Ronald Tutor, our Chairman and CEO and Gary Smalley, Executive Vice President and CFO. Before we discuss our results, I would like to remind everyone that during today's call, we will be making forward-looking statements, which reflect our current analysis of existing trends and information. There is an inherent risk that our actual results and experience could differ materially. You can find a discussion of our risk factors, which could potentially contribute to such differences in our annual report on Form 10-K which is being filed today and in our annual report on Form 10-K which was filed on February 29, 2016. The company assumes no obligation to update forward-looking statements whether as a result of new information, future events or otherwise, other than as required by law. With that, I will turn the call over to our Chairman and CEO, Ronald Tutor.
Ronald Tutor: Thank you, Jorge. Good afternoon and thank you for joining us. I’m pleased to report that we’re off to an excellent start in 2016 with a strong first quarter performance. Our results were highlighted by strong earnings several large new awards that resulted in our new record backlog and strong cash generation. We are making excellent progress and on schedule with our cash collection goals in our initiatives to reduce unbilled costs by resolving various long standing claims and unapproved change orders as well as just simply strengthening the collection of moneys rightfully to us. In total, we had approximately $1.8 billion of new awards in the first quarter, strongest quarter of new awards in almost three years. The Civil Group was awarded the $663 million New York Metropolitan Transit Authority, East Side Access CMOO7 project and the Building Group was awarded the $285 million Pechanga Resort and Casino expansion in California. The MTA CMO7 project involves transforming two large caverns carved out of rock into a subway terminal station beneath the Grand Central Terminal, and includes more than 12 miles of track work from Queens to Manhattan, with four platforms to be built within the station. Project will run approximately 3.5 years. In addition, during the first quarter our joint venture team was awarded more than a $150 million of additional contract scope for the California High Speed Rail. As a result of the large new awards mentioned as well as various others, our backlog increased 9% sequentially to a new record of $8.2 billion. The largest it has been since the third quarter of 2008. Our book-to-burn ratio was strong at 1.6% and our backlog composition now stands at 41% civil, 35% building and 24% specialty. So nearly two thirds of our backlog continues to be comprised of higher margin civil and specialty work. Strong backlog and large volume of perspective work continues to support a favorable long-term outlook for growth in profitability. Furthermore, we continue to experience that same large volume of bidding opportunity as we progression our civil and building segments. I will discuss segment specific details later regarding our backlog and perspective work. The Civil Group generated the majority of our operating income in the first quarter, that seems to be the case and delivered a strong operating margin with continued progress on various large projects including several New York MTA East Side Access projects namely CMO6, DS179 a very large system contract and CQ32 the completion of the station. The segments three top revenue contributors were CMO6, San Francisco Metropolitan Transit Authority Central Subway project in Hudson Yards platform. Our tunnel extension work at Hudson Yards and the structural steel framing of the platform project completed in April, although we have approximately another year of ancillary work to substantially complete the platform. We have recently commenced work on the large new CMO7 project for the MTA as mentioned earlier. Work has increased as previously discussed on the California High Speed Rail project, as we anticipate our activities reaching a peak by the third quarter this year. With respect to the SR99 project following a planned maintenance stop in April, perform equipment checks and parts replacements on our tunnel boring machine, the joint venture team resume tunneling last year beneath the Alaskan [indiscernible], and expects to advance the remainder of the tunnel drive over the coming months, until concluding the tunnel drive in December of this year. I might add that to date our tunneling has gone better than expected as we expect to clear the [indiscernible] sometime next week. The Building Group had its seventh consecutive quarter of double digit revenue growth driving the company’s overall revenue growth through significantly increased work on certain commercial office by technically, government hospitality and gaming and projects in both California and Florida. It’s large revenue contributors included that same $800 million technology facility in Northern California, a biotech facility in Southern California, the San Diego Courthouse, Miami Panorama Towers and the Chumash Casino Resort in Central California. In New York, our work on various buildings in Hudson Yards continues to advance. We are in the final stages of concluding Tower C with a hopeful certificate of occupancy to follow shortly as work progresses on Tower D and the retail complex. As previously announced, we executed the contracts for both the retail complex and Tower D and book those portions in the backlog during the first quarter. We are managing a total construction value of $672 million for Tower D and $637 million for the retail complex. Specialty Contractor Segment delivered improved profitability compared to the past two quarters and we believe on track for further margin improvement as the year progresses. While the specialty contractor segment revenue was down slightly compared to the first quarter of last year, the group continues to be busy supporting both building and civil projects, especially in New York and demand for its services for newer continues to be extraordinary. The strong demand continued with a very limited resources available to the industry in New York and specialty work continues to result in opportunities for significant work with appropriately enhanced margins. We expect to see the benefit of this market place in our segment results over the coming quarters. Our pending awards at the end of the first quarter totaled $1.2 billion, this is the lower amount compared to the last quarter and mainly due to the awards of CMO7, the Pechanga Resort and the Casino expansion as well as the Hudson Yards retail gallery contract. The $1.2 billion of the pending awards consist of various building projects in both California and Florida which are expected to be awarded over the next quarters. Next I will discuss our first quarter new awards and backlog by segment. Our Civil Segment had new awards in adjustments totaling $938 million and ended the quarter with a of $3 billion backlog. As I previously mentioned, the largest civil awards was the $663 million CMO7 contract but the group also booked it’s portion of the High Speed Rail added work as well as the $35 million highway project in Florida and a $40 million bridge replacement in Baltimore. Building segment had new awards and adjustments totaling $562 million and ended with backlog of $2.9 million, up 27% from first quarter last year. As previously stated, the largest building awards included $285 million on a new Pechanga Resort addition, $63 million contract for the first phase of the Hard Rock hospitality in gaming in Tampa, Florida and the previously discussed Hudson Yards complex buildings. The Specialty Contractors segment had new awards and adjustments totaling $279 million and ended with a backlog of $1.9 billion. There are new awards comprised of an $86 million electrical contract, the Five Star CMO7 and a $32 million mechanical contract on a healthcare project in various smaller contracts primarily of course, across Five Star and WDF in New York. Now, I’ll provide an update on our steadily growing volume of perspective projects. Overall this stands at $37 billion of projects expected to be bid and awarded over the next 12 months to 18 months. This compares slightly up from first quarter last year. Civil segment's bidding volume grew to $21 billion compared to $20 billion. The large prospects include the $1.5 billion Los Angeles MTA purple line segment to expected to bid first week of June. The $1.5 billion I405 highway improvement project in Orange County and a $450 million job in Washington D.C. later in the summer. The Building segment's bidding volume grew and stands at $13 billion. This includes over $4 billion of opportunities for Rudolph & Sletten in California. Over $3 billion in projects in South Florida as well as the Rams Stadium in Los Angeles as well as a Javits Convention Center design build in New York. The Specialty Contractors segment bidding volume continues to be $3 billion, a significant part of which is in New York City between Five Star and WDF. Based on our current new record backlog and strong market outlook, we're reiterating our guidance for 2016 with revenue expected to be in the range of $5.1 billion to $5.6 billion, and diluted earnings per share of $1.90 to $2.20. The guidance continues to assume a tax rate of 41% and 49.600 million shares outstanding. I will now turn the call over to Gary Smalley to review the details of our financial results.
Gary Smalley: Thank you, Ron. Good afternoon, everyone. Before I discuss our operating results for the first quarter, I want to provide more color on Ron’s opening comments about the solid progress that we are making with our cash collection gold and in reducing unbilled costs. We call that on our last earnings call in late February. We communicated our plan to reduce unbilled costs, that’s the cost and estimated earnings and our excess of billings reflected on our balance sheet for $905 million at the end of 2015, about half that amount by the end of 2017 still over two year period. To accomplish this, we have been intensely focused on resolving numerous claims and unapproved change orders as well as billing and collecting other unbilled amounts which will allow us to convert these unbilled costs to cash. We’re starting to see considerable traction in our efforts as we have made very good progress in the first quarter of 2016. Our cost in estimated earnings and excess of billings declined by nearly $50 million during the quarter, the largest quarterly reduction we’ve had in more than eight years. In addition and certainly influenced by the reduction in our unbilled cost balance, we generated $60 million of operating cash for the quarter, our strongest operating cash flow for any first quarter in the last eight years. We’re also pleased that our operating cash approximated our net income which we hope is a trend for the future. So, all-in-all an excellent start to our two year plan. We’ve recognized that there is much progress yet to be made but we remained highly focused on converting the unbilled cost on our balance sheet to cash which over the next two years we will use then the significant portion to pay down our debt. Now let’s speak more to our results for the first quarter. It’s important to keep in mind that historically our first quarter tends to be our seasonally weakest quarter primarily because of weather impacts. We experience particularly strong results this first quarter compared to last year’s first quarter and we continue to expect that our results will be even stronger next quarter and in the back half of the year. So, first quarter revenue was $1.1 billion which was up slightly compared to our first quarter revenue for last year. Civil segment’s revenue was $336 million compared to $375 million for the same quarter last year, and mainly due to reduced activity on the JFK Runway project which completed last fall in the Hudson Yards platform project. As Ron mentioned, the structural steel work on the platform is now complete, the project activities have been ramping down, although the project still has about a year to go. Segment revenue included strong contributions from various projects in New York and California including CMO6, the San Francisco MTA Central Subway project, the M Track tunnel extension project, California High Speed Rail, SR99 and the Verrazano Narrows Bridge rehabilitation project. With the significant new award bookings in the quarter, and with the vast bidding opportunities in front of us, we still expect civil segment revenue to increase over that of 2015. Building segment revenue for the first quarter was $468 million, up a solid 17% compared to $399 million for the same quarter of 2015. This was due to strong execution activity on a various projects including the large technology facility project that Ron mentioned and several other building projects in California and Florida. Specialty Contractors segment revenue was $282 million compared to $293 million for the same quarter last year. This modest decline was primarily due to reduced activity on certain mechanical projects in New York. Despite the slight revenue reduction for the quarter, we are optimistic that Specialty’s revenue will also improve over the course of the year as the group continues to work off a sizeable backlog, and as it wins its share of the many relatively larger higher margin bidding opportunities that exists today, especially New York City. Our first quarter G&A was $65 million compared to $71 million for the same quarter of last year. The decrease was mainly due to reduced performance based incentive compensation. First quarter operating income was $40 million, a significant improvement over in double the amount we reported for the same quarter last year. This resulted in an operating margin of 3.7% this quarter compared to 1.9% for the first quarter of 2015. The strong increase in operating income and operating margin was primarily due to improved project execution from the civil and building groups, as well as the decrease general and administrative expense that I mentioned. Civil Segment income from construction operations was $34 million, up 10% compared to $31 million for the first quarter of last year. The first quarter operating margin for the Segment was 10% compared to just over 8% for the same quarter of 2015. The increase in operating income and margin was primarily due to increased activity and favorable performance on certain large mass transit projects in New York and California. The Building Segments income from construction operations was $12 million, up substantially compared to an operating loss of $2 million for the first quarter of 2015. The Segments first quarter operating margin was 2.7% compared to a negative 6.10% for the first quarter of last year. A strong increase in the Building Segment’s operating income and the notable margin improvement were mainly attributable the strong increased volume mentioned earlier on projects California and Florida. In addition, our first quarter 2015 results included an unfavorable adjustment on an office building project. Specialty Contractors income from construction operations was $9 million for the first quarter of 2016 compared to $11 million for the first quarter of last year. The Segment’s operating margin was 3.3% compared to 3.6% last year. The decrease in operating income and margin was principally due to decreased activity on various mechanical projects in New York, partially offset by net favorable adjustments that totaled approximately $3 million for various electrical projects in New York. Other income in the first quarter was approximately $700,000 which reflects reduced acquisition related earnout expense and compares to other expense of about $800,000 for the same quarter of last year. Interest expense for the quarter was $14 million compared to $11 million for the same quarter of 2015, the higher expense this quarter resulted primarily from the terms of our amended credit agreement which we discussed on our last call. Net income for the quarter was $15 million, tripled the net income reported for the first quarter of last year, due to the reasons I mentioned earlier that drove our increased operating income. Our resulting diluted EPS for the first quarter was $0.31, also tripled a $0.10 reported a year ago. The effective tax rate for the first quarter of 2016 was 42.4% slightly higher than 41% we had budgeted due to various discreet items, including in certain state tax rate changes on differed taxes. We still expect the tax rate for the full year of 2016 to be 41%. Note that last year’s first quarter effective tax rate was 37.5%, the rate that was favorably impacted by adjustments related to certain tax positions. So let’s briefly recap the quarter. New awards raised $1.8 billion higher than any quarter nearly three years. Any backlog increased 9% during the quarter to $8.2 billion, our largest backlog since the end of the third quarter 2008. Both net income and EPS were three times higher than what we reported last year’s first quarter, in spite of a higher tax rate. Considerable progresses were made in our cash collection and unbilled cost reduction efforts which has resulted in first quarter positive operating cash flow of $16 million which is the best first quarter cash low performance that we’ve had in eight years and two, a decrease in our unbilled cost balance of nearly $50 million which is the largest quarter reduction over eight years. Ron, with that, I’ll turn the call back over to you.
Ronald Tutor: Thanks, Gary. To reiterate, I’m pleased with our first quarter results as they reflect strong project execution, continuing success in the winning of new large awards and early indications that our committed efforts on cash generation and the collection of unbilled costs are yielding the results that we expect them to. Based on the Building Segments continued strong year-over-year backlog growth, we anticipate that group will continue to drive much of our revenue growth that as always, the civil group will drive the income. The Civil Group will continue to fuel strong profitability with improved revenue performance in the upcoming quarters with projects like SR99, California High Speed Rail and our significant Civil backlog in New York ramping up and peaking as I stated earlier in the third quarter. We believe we are improving our margins at Five Star electric and other subcontracting subsidiaries as we work very hard to collect the moneys due and take advantage of the excellent subcontract market place we’re in. Today I remain confident that both with our strong backlog and the many sizable bids we’re immersed in right now. We will continue to deliver stronger and more profitable results. Finally, last but not least, from me down to all our senior executives and Gary, we are intensely focused and collecting the money that’s deep below us, both in the unbilled receivable category, the enormous amount of entitle change orders where work has been done and the money not collected as well as just playing core pay that we’re determined turn around. With that, I’ll turn it over to the operator for the question-and-answers. Thank you.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Alex Rygiel with FBR Capital Markets. Please proceed, your line is live.
Alex Rygiel: Good evening, nice quarter Ron and Gary.
Ronald Tutor: Thank you.
Gary Smalley: Thanks, Alex.
Alex Rygiel: Ron, let me ask the easy question and it looks like a very solid quarter. Bookings ahead, execution solid, better than last year, so the question is, why not raise full year guidance?
Ronald Tutor: Because we’ve got the balance of the year focused on collecting a great deal of money that [indiscernible]. I personally think we’re ahead of the schedule I set, but that is as much focus as earnings and before I would have consider raising guidance, we’d have to complete the second quarter and be in the third quarter. I traditionally never increase guidance before we’ve further, the business as occasional surprises that are unanticipated. It is in it’s simple like just saying, we peed our first quarter, let’s raise it all.
Alex Rygiel: And I know on the call you mentioned reducing your unbilled receivables cost in excess of billings by about 50% over the next, call it, two years, 18 or 24 months. Is that a little bit more frontend loaded into 2016 or is it a little bit backend loaded into 2017?
Ronald Tutor: I think a significant part of that will be in 2016 if I have my way, and I believe that’s fair. I think probably more of it is in 2016 than 2017, and as far as I’m concerned those are minimum goals.
Alex Rygiel: And is it related to one or two sizable projects or is it dozens of smaller one-offs that just requires…?
Ronald Tutor: I wouldn’t call them smaller but we have some significant receivables in the Civil Group as profitable as we’ve been that are hopefully close to settling this year. Our Specialty Group has had an enormous number of unbilled receivable and collection issues that we basically taken over at corporate. And it isn’t really one or two or three big jobs, it’s probably across 30 or 40 contracts, where it just – for example, in New York, Five Star did a $1 billion worth of electrical for the board authority of New York on the World Trade Center, we literally wired the entire World Trade Center with very few exceptions. We found ourselves in a position to where we had been authorized upwards of a $100 million of entitle change orders in order to proceed. And the ability to resolve those change orders, even with the entitlements is now dragged into its third year. Now the good news is, we’ve settled a significant part of it and we’ve set a timetable with the board that they’ll all be concluded probably by October. But it’s what happens when a public agency and it is a rarity, you have an enormous contract they issue literally hundreds of changes in directions to proceed. You follow the contract and proceed and then the follow-up to conclude and collect the money was missing at Five Star, as a result, we took it over and [indiscernible] who is a great customer of ours in Five Star finally paying, but we woke up and at one time they were into this $130 million, $140 million, it was that out of control. The rest are just a whole series of issues that I believe with Mr. Smalley’s engagement as our new CFO and with all of our executive’s commitment. You’ll see money start to come back to us where it belongs.
Alex Rygiel: It’s good to hear, very helpful. Thank you.
Ronald Tutor: Thank you.
Operator: Our next question comes from Steven Fisher with UBS. Please proceed with your question.
Steven Fisher: Thanks, good afternoon. Good to see the nice strong quarter, it seems to be pretty uneventful but you still need a seasonal ramp up and good execution to hit your numbers for the year. Revenues should ramp up seasonally but to what extent do you expect your margins to improve from here as well, and I think Ron, you said specialty should ramp up over the course of the year but what about the margins in the other two segments?
Ronald Tutor: Well, the Building margins, there is not a hell of a lot of ramp up that occurs in the building business, it’s a revenue generated business with as you know, slimmer margins than I like and I can’t say there has been a dramatic increase in the building margins. If we are earning a 0.5% to 1% more today versus two years ago, I probably be at the limit of that. So the building business, it’s very hard to grow margins given the nature of the business. Our civil business just remains very strong and without naming any specific projects, because I don’t want any of our owners to think we might getting unjustly enrich. Our civil business is from a margin standpoint as well as the backlog doing better than we’ve ever done, it’s going remarkably well and I think we’re going to see ramped up revenue and the profit that goes with it.
Gary Smalley: Yeah Steve, a brief portion what Ron just said, recall that we’re 10% margin for the quarter which is quite good and above what we were at the 8% for first quarter of last year.
Steven Fisher: Right. And I think you may have said in the prepared remarks that there was some particularly good performance on a few projects, I mean is that sort of a high watermark for the year in the civil segment on the margins or?
Ronald Tutor: No, the particularly good performance is on an ongoing basis on a project or two that has two to three years remaining.
Steven Fisher: Okay, that’s helpful. And then obviously you did put a lot of work into the backlog in the civil segment, can you just talk about how the bidding environment is and how the bid margins compared to kind of what you reported say in the full year for 2015 I think it was around 9%?
Ronald Tutor: I think it’s safe to say without divulging too much to our competitors that there is no question we have increased our margins. Competition in the very large work is limited to say the least. We’re getting ready to propose on a $1.5 billion tunnel and subway job in Los Angeles, there is only two other bidders. We think we have an excellent opportunity. We are quoting on $1 billion job that seems all over the country. And very candidly in the civil business as I’ve said before, there are very, very few contracts in the U.S. that can both financially and physically take on these very large projects.
Steven Fisher: Okay. And then just a couple of quick questions on cash flow, if you could just talk about what drove the cash flow improvement in the quarter? I mean it looked like receivables still went up by around $140 million, I’m not sure if that was things coming out of cost in excess and into receivables or what drove the cash flow. And then, the $50 million or so reduction in cost in excess, what component did that come out of, was it out of claims on approved change orders or other?
Ronald Tutor: The combination, a lot of it came from the board authority. We meet every two weeks, we are literally settling and collecting that enormous backlog of cash twice a month. We convert those unbilled change orders to execute the change orders with cash to follow. We’ve settled a number of claims, I expect that will continue to increase quarter-over-quarter. As we collect these unbilled receivables, we settle claims and more importantly, we take our unbilled change orders where owners give us an entitle change. We precede on the work and then it takes us a year to collect money, even though there is no argument, it’s just the process. We put in a plan to where we get an entitle change. We really are reluctant to proceed with the work unless we get some method of payment on account or some written assurance of the timeliness. In other words, we don’t proceed with the multimillion dollar change order and discover the owners under staff and apologizes profusely but it can’t get to us for six months. So we’re doing everything within our power to force early resolves and collect moneys, even though that isn’t always what can take place. We think that effort will dramatically reduce the cash owned to us, which of course, you collect money, you paid on debt, you reduce interest etcetera, etcetera.
Gary Smalley: Yeah, so Steve, further to your source question with respect to the cash flows, what Ron described certainly at an influence on our positive cash flow for the quarter. We also are, as Ron also mentioned earlier on the call, we’re really looking hard at the process, the word process is behind getting cash faster and we saw some progress, some evidence associated with that. Specific to your receivable question, yes, we had – we don’t have anything unusual in the receivables, some of that was just really due to timing. You’ll also see there is a slight kick up in payables also that’s because we have pay when paid items, so once we get paid by the client then we pay the vendors. We had – some of that was due to timing, we had some really big cash collection days immediately after the first quarter close cut off. We’re trying to get that cash faster but it drifted out one, two, even three days after the cut off and some of those were big amounts that would have gone. You would have seen a reduction of some of that receivable built out, and the payables also for that matter.
Steven Fisher: Okay, thanks a lot guys.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of John Rogers with D.A. Davidson.
John Rogers: Hi, good afternoon.
Ronald Tutor: Hi, John.
John Rogers: Couple of things, and I apologize if I missed this, but Gary what do you expect the interest to be this year?
Gary Smalley: Yeah, John, at this point we’re not changing what we had communicated before where we had communicated around $53 million of interest expense.
John Rogers: Okay, okay that’s why I just wanted to confirm that. And then in terms of the pending awards, I mean you guys had great quarter but those dropped down quite a bit, and I know you’ve got some big bids coming up in I guess with the LA work and other things, but does this mean that your backlogs going to be dropping off as we go through the year or is it just timing and I know the civil work lot of that isn’t in there yet, but is that…?
Ronald Tutor: I don’t know how that logic prevail John, with all due respect. We have those – we’ve had those pending awards because they were in fact given to us but the documentation hadn’t been concluded. We’d actually started the retail complex at Hudson Yards three months ago and or six months ago and we signed the contract two months ago. So those things just do happen and pending awards aren’t always replaced. In the private world, those pending awards can sometimes take six to nine months to conclude whereas typically in the public work, we’re a little better it’s a pending award and it’s awarded in 30 to 60 days. So it’s all variable, it has nothing to do with the reduced backlog, I wouldn’t say it has any variant.
John Rogers: Okay. So in other words, I mean the decline in pending which looks like it was about $2.4 billion from the fourth quarter and your bookings were $1.2 billion – I’m just trying to match that up.
Ronald Tutor: Well it’s the differences if you put it another way. Those pending awards if you look back where they’re practically all of last year. A lot of that’s from Hudson Yards and the fact it was carry forward, once they become an award you don’t necessarily have large private works rock it along like we had there for six months to a year. Most of our work is negotiated, it comes to a conclusion or its bid and awarded within 60 to 90 days. It’s very rare that we have Hudson Yards type projects where we have a potential award or a handshake award and it drags out that long. So I think that is what really primarily distorted. Otherwise, with those awarded in the backlog it’s back to business as usual.
Gary Smalley: And John, if you’re trying to do a roll forward if you will on the pending awards, the reconciling factors probably Tower E, we had previously that we’re not going to get Tower E and I think that wasn’t pending.
John Rogers: Okay, okay that helps. Thanks a lot. Congratulations on the quarter.
Gary Smalley: Thanks.
Operator: Our next question comes from Rob Norfleet with Alembic Global Advisors.
Nicholas Chen: Hi guys, this is actually Nick Chen for Rob this afternoon. Thanks for taking our call and congrats on a nice quarter. Great, so just regarding the opportunities in Guam, I was hoping you guys could give a little bit more color there and sort of what are some of the opportunities and what the timing of that work might be?
Ronald Tutor: Well, we just turned in about 60 days ago with $200 million site development for the Navy, for the new marine base. We’re waiting to hear on it. The office there has given me about three or four more major projects bidding in the next six to eight months, no question Guam is ramping up appreciable and we hope to be the beneficiary of that.
Nicholas Chen: That’s great. And then as it relates to the fast act in the new highway bill, are you guys seeing good opportunities there and what do you think the timeframe on those sort of going to backlog and then turning into revenue would be like?
Ronald Tutor: I think with that highway bill we’re looking about a year before it hits us in the significant opportunity and then usually months thereafter you see backlog increase for all of us that do that type of work.
Nicholas Chen: That’s very helpful. I’ll jump back into queue. Thanks again.
Operator: Thank you. We have reached the end of our Q&A session. I would now like to turn the floor back over to Ron Tutor for closing comments.
Ronald Tutor: Thank you very much – thank you very much everyone. Hopefully we can continue to do as we do and we’ll see you next quarter.